Operator: Good day, ladies and gentlemen, and welcome to the Quarter One 2016 Sealed Air Earnings Conference Call. My name is Sue and I'll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. As a reminder, this call is being recorded for replay purposes. I'd now like to turn the call over to Lori Chaitman, Vice President of Investor Relations. Please proceed, ma'am.
Lori C. Chaitman - Vice President-Investor Relations: Thank you, and good morning, everyone. Before we begin our call today, I would like to note that we have provided a slide presentation to help guide our discussion. This presentation can be found on today's webcast and can be downloaded from our IR website at sealedair.com. I would like to remind you that statements made during this call stating management's outlook or predictions for the future are forward-looking statements. These statements are based solely on information that is now available to us. We encourage you to review the information in the section entitled Forward-Looking Statements in our earnings release, which applies to this call. Additionally, our future performance may differ due to a number of factors. Many of these factors are listed in our most recent Annual Report on Form 10-K and as revised and updated on our Quarterly Reports on Form 10-Q, which you can also find on our website at sealedair.com. We also discuss financial measures that do not conform to U.S. GAAP. You may find important information on our use of these measures and their reconciliation to U.S. GAAP in the financial tables that we have included in our earnings release. Now, I'll turn the call over to Jerome Peribere, our President and CEO. Jerome?
Jerome A. Peribere - President, Chief Executive Officer & Director: Thank you, Lori, and good morning, everyone. I know it's been a busy morning for many of you joining us today, but hopefully, you had the opportunity to review our first quarter earnings results. I want to make sure and take a few minutes to highlight our performance and what we expect going forward. Our first quarter results overall were essentially in line with our expectations. Remember, I told you early February that our first quarter 2016 would be our toughest year-on-year comparable due to currency headwinds, the impact from divestitures and formula pricing in Food Care. This was why we set our first quarter 2016 guidance for sales at $1.6 billion and adjusted EBITDA of $245 million with $18 million of currency headwind and $14 million impact from divestitures, and this is about what we have delivered. The Food Care pricing formulas, which were highly favorable in the first quarter last year, turned unfavorable as predicted. And if there was a surprise, it was lying in the steepness in Venezuela's and Brazil's Food Care volume decline and its related impact on profitability. Having said that, Food Care delivered 4% volume growth in North America, and 3% volume growth in EMEA on an organic basis. Diversey Care increased volume over 4% in both Asia Pacific and Latin America. And Product Care volume was up 6% in EMEA and essentially flat in North America, even with our rationalization efforts and ongoing softness in the industrial sector. So, we're seeing nice volume growth in targeted regions and for the second consecutive quarter, we have seen robust equipment installment. In the first quarter, equipment sales increased more than 10% in constant dollars and all three divisions had positive growth. Adjusted EBITDA performance was attributable to solid results in our Product Care division, which increased margins 90% basis points (sic) [90 basis points] (04:22) as compared to last year. We also recognized incremental savings from restructuring and demonstrated corporate expense control. I also told you in February that our performance would improve sequentially throughout the year with an acceleration of growth in the second half. We also said more of our growth would come from volume versus price mix, and I do confirm that this remains our outlook for each of our three businesses, and we are confident in our guidance for the full year. Looking ahead for Food Care, further global adoption of our innovative solutions, coupled with a well-anticipated up cycle in the North American beef market, along with improving trends in other regions will drive profitable and accelerated growth for the remainder of the year and several years to come. Diversey Care and Product Care have tremendous momentum, thanks to the execution on our Change the Game strategy as does our medical business. And as I mentioned, we have had favorable equipment trends, which is an indication, a strong indication of what's to come. And before we get into the details of our results, I want to highlight that for the first time since 2010, we announced that the board of directors approved an increase on our quarterly dividend. The dividend was increased by 23% from $0.13 to $0.16. We also repurchased approximately 700,000 shares of our stock valued at $32 million in the first quarter and still have $852 million remaining under our share repurchase program. Karl Deily, President of our Food Care Division, is joining us today on our call, along with Carol Lowe, our CFO. So with that, let me pass the call to Carol and Karl, and then we'll answer any questions you may have. Carol?
Carol P. Lowe - Chief Financial Officer & Senior Vice President: Thank you, Jerome. On slide four of our presentation, you can see our performance by region for the first quarter. Let me start with EMEA where we had 3% organic growth and positive sales trends across our three divisions. Food Care sales increased 5%, Product Care increased 6%, and Diversey Care increased 1%. On a by country basis, EMEA was led by positive sales trends in France, Italy, Spain, Turkey, Poland and Russia. Asia Pacific was up 1% in constant dollars led by 7% constant dollar sales growth in Diversey Care. Sales in China increased in both Diversey Care and Food Care. India delivered double-digit growth in Diversey Care. Australia and New Zealand combined account for 6% of our total net sales and just over 10% of Food Care sales. In Food Care, Australia was essentially unchanged despite slaughter declines of approximately 17%, as cattle farmers initiated rebuilding of their herd. New Zealand was down 6% due to the ongoing weakness in the global dairy market. Latin America was hit the hardest by currency devaluations and socio and political instability, particularly in Venezuela and Brazil. On a reported basis, Latin America was down 19%, which translates into 9% growth in constant dollars. We were pleased to see volume growth in Diversey Care, which was attributable to recent customer wins in Chile, Argentina and Brazil. Also, if you exclude Venezuela and Brazil from Food Care results, volume in Latin America would be up 2.5% with strong growth in Mexico and Argentina. Let's move to slide five and look at trends in North America. Overall, North America was down 2% on an organic basis due to unfavorable price mix offsetting positive volume trends. Food Care's 4% volume growth was offset by formula pricing. As Jerome mentioned, Product Care's volumes were up slightly, but this was offset by unfavorable price mix. As we move through the year, we anticipate volume growth to accelerate for both Food Care and Product Care with customer acceptance of our new portfolios and stronger end market demand. Diversey Care delivered positive price mix, but it was offset by lower volumes into the distribution channel. Our ERP implementation has gone well; however, there was some timing impact on the quarter. April sales for Diversey Care have been strong and we expect this growth to continue for the remainder of the year. Turning to slide six, let me walk you through our net sales and adjusted EBITDA performance on a year-over-year basis. Starting with the net sales, you can see that we delivered $1.6 billion in sales, a decrease of 9% on an as-reported basis and up 1.5% on an organic basis. Volume contributed $15 million to top line growth and favorable price mix contributed $10 million. Unfavorable currency translation was $113 million, and the impact from divestitures was $67 million. Adjusted EBITDA was $243 million or 15.3% of net sales. Unfavorable currency translation was $18 million, and the impact from divestitures was $14 million. Operating expenses increased $30 million, of which salary and wage inflation was $16 million and inventory capitalized variances were $12 million. These expenses were partially offset by $14 million in restructuring savings and $5 million from higher volume. Adjusted earnings per share was $0.50 in the first quarter. Our adjusted tax rate in the quarter was 21% compared to 25% last year, primarily due to our ability to repatriate earnings in a tax efficient manner and a more favorable earnings mix in jurisdictions with lower tax rates. For the full year, we continue to expect our tax rate to be approximately 24%. Let me now turn the call over to Karl to go through our results by division. Karl?
Karl R. Deily - President, Food Care: Thank you, Carol. Let's turn to slide seven and review Food Care results. Food Care sales increased 2% on an organic basis, driven by a combination of higher volumes and favorable price mix. By region, EMEA increased 5%, while North America declined 1%. Latin America was up 10% in constant dollars and Asia Pacific was essentially unchanged. Our adjusted EBITDA was $148 million or 19.3% of net sales. This compares to 21.7% last year and 18.7% last quarter. If you recall, this time last year, excluding the impact from currency and divestitures, we experienced a significant positive price cost spread due to positive formula pricing and lower input costs. This year, our first quarter results reflect a tough comparable on formulas, the negative impact from Venezuela and Brazil, and the expected slowdown in the Australia and New Zealand business. As Jerome noted, we expect sequential improvement in absolute dollars on both the top and bottom line in the second quarter and accelerated growth in the second half of the year. For the full year, we continue to forecast organic growth in sales and EBITDA with margin expansion. I want to spend a few minutes on what we are seeing in the marketplace that gives us the confidence in our future performance. First, on a global basis, we continue to see customer adoption and further market penetration across all protein sectors in our case-ready platforms. Darfresh on Tray and ready meals continue to gain significant momentum around the world. Second, we are experiencing rapid expansion of our fluid-based solutions, including our vertical pouch packaging, or VPP systems, as well as our aseptic offerings. And third, our customer trials across the globe for our new barrier technology, OptiDure, are going very well. As for our hygiene business, we are experiencing continued growth with our direct food contact solutions for food safety and our knowledge based-services to optimize water and energy usage. We also are beginning to see positive impact of the larger herd size in North America, which is resulting in steady increase in cattle coming to market. In Europe, where the protein market is relatively stable, we are experiencing organic sales growth as a result of new product acceptance in Western Europe and increased market penetration in Eastern Europe. We look forward to capitalizing on improving end market demand in both North America and Europe, but keep in mind, our growth in 2016 will be partially offset by a continued slowdown in Australia/New Zealand and the economic conditions in both Brazil and Venezuela. So, if we go to slide eight, we'll highlight the results from our Diversey Care division. Diversey Care net sales on a constant dollar basis were up just over 1% in the first quarter. We had favorable price mix in every region and 4% to 5% volume growth in Latin America and Asia Pacific. Adjusted EBITDA of $36 million was 8.2% of net sales. As a reminder, first quarter is our seasonally weakest quarter and we continue to expect constant dollar sales growth as well as margin expansion for the full year. Also keep in mind, we have continued to invest in disruptive technologies, including specific investments in robotics. We are winning new strategic customers and we have already started servicing those customers this quarter in facility management and food service industries. Our focus on sustainability, productivity and integration of chemicals, tools and machinery is being recognized throughout the industry. This quarter, from a vertical market perspective, sales increased in food service, retail and in hospitality. We have gained traction with our advanced floor care solutions with the installation of IntelliTrail, the advanced GPS tracking system, on more than 1,100 TASKI machines, and we see rapidly growing demand for our Intellibot portfolio. Now, let's turn to our Product Care results on slide nine. Product Care's net sales were essentially unchanged on a year-over-year basis, with volume growth offset by unfavorable price mix. You may recall that we divested a $15 million product line in North America in January, yet we held volumes relatively flat as compared to last year. This is attributable to our strong position in e-commerce and third-party logistics or the fulfillment market where we continue to experience double-digit growth. We also have been able to maintain good pricing disciplines despite lower input costs, as our customers recognize the value-add of our new and innovative solutions, combined with our global reach and broad product portfolio. I also want to highlight our business in Europe, where we delivered 6% volume growth in light of ongoing rationalization efforts. Our performance was attributable to the successful integration of our B+ acquisition and the traction we've gained with our automated solutions, including the B+ portfolio, FloWrap, inflatable Bubble and Sealed Air. In the second quarter, we will divest a $12 million product line in Europe, which should complete our product rationalization efforts. For the year, we anticipate top line growth and margin expansion with a stronger second half of the year, given our success in the fulfillment market. Now let me pass the call back to Carol to review our free cash flow and our outlook for 2016. Carol?
Carol P. Lowe - Chief Financial Officer & Senior Vice President: Thank you, Karl. Turning to slide 10, free cash flow was a use of cash of $48 million in the first quarter. CapEx increased to $52 million as compared to $21 million during the same period a year ago, of which, $15 million was related to our Charlotte campus. Working capital and other assets and liabilities were a use of cash of $141 million. Operating working capital as a percent of net sales, based on a 13-month average, is relatively the same since year-end at 14.5%. As compared to a year ago, we improved 106 basis points. We believe there is still opportunity to further improve payables and inventory management, even though we have reached our long-term target of 15%. For the full year, we continue to expect working capital to be a source of cash of approximately $100 million. Turning to slide 11, we are reaffirming our outlook for 2016. Net sales are expected to be approximately $6.8 billion. The impact from the Food Care divestitures on 2016 net sales is $102 million, of which $67 million impacted the first quarter. We continue to forecast adjusted EBITDA in the range of $1.17 billion to $1.19 billion. The impact from the Food Care divestitures on 2016's EBITDA is $21 million, of which $14 million impacted the first quarter. We expect our second quarter results to be down on a year-over-year basis, due primarily to formula pricing in Food Care. However, as Jerome noted, we expect sequential improvement in every quarter going forward. Our medical and corporate expenses are expected to be a net expense of $100 million for the full year 2016 as we continue to invest in our next-generation digital technologies. Our interest expense for 2016 is estimated at $225 million. Depreciation and amortization is forecast to be approximately $285 million. Adjusted earnings per share is expected to be within the range that we previously provided of $2.52 to $2.60. At this point in time, we are not updating our outlook on currency translation. As you know, markets have been extremely volatile and we are focusing on what we can control. We are on track to achieve our free cash flow target of approximately $550 million. CapEx is expected to be $275 million, which includes approximately $125 million related to the investment we are making in our Charlotte campus and other capital restructuring activities. Excluding these items, maintenance and growth CapEx combined is estimated to be $150 million. Cash restructuring payments are estimated at $110 million and we expect to realize restructuring savings of approximately $30 million. Cash interest payments are expected to be $220 million and cash tax payments are estimated at $125 million. In closing, I would like to once again note that we are confident we are investing in the right markets and in the right region that will enable us to capitalize on future growth opportunities. We are not ignoring the global environment. We have and we will continue to advance continuous improvements and realize further operational efficiency. With our most challenging quarter now behind us, we look forward to delivering improved performance for the balance of the year and in the years ahead. Before I open the call to questions, I would like to remind you, our second quarter earnings call is tentatively scheduled for Thursday, July 28. We have invited Dr. Ilham Kadri, President of Diversey care to join Jerome and me for the Q2 call. Operator, can you please now open the call for questions?
Operator: Your first question comes from the line of Ghansham Panjabi of Baird. Please go ahead.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Hey, guys. Good morning.
Carol P. Lowe - Chief Financial Officer & Senior Vice President: Good morning, Ghansham.
Jerome A. Peribere - President, Chief Executive Officer & Director: Good morning, Ghansham.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Good morning. So, thinking back to your guidance in February, organic growth of 3.5% for 2016 is what you originally assumed. Just given the start to the year at 1.5%, how should be think about that core growth expectation for the year? Particularly, Jerome, since a lot of the issues you cited, including Food Care weakness in Latin America, and also the Middle East impact on Diversey likely to have some longevity? Thanks.
Jerome A. Peribere - President, Chief Executive Officer & Director: Good question, Ghansham. We need to go back to what we have guided towards and you'll remember that it is the first time we gave the guidance for a specific quarter. And we did that because we knew what was happening from the pricing coming negative and growth being somewhat muted at the beginning of the year, the divestiture and the currency headwinds. So as far as I'm concerned, really no surprise. The only surprise has been coming from how steep Latin America Food Care has been with 6% volume declines. But this is very specific. It's been very specific as a result of Venezuela which has melted down and as Brazil, which has had – and Karl will add a little bit in that, which has seen very, very steep local meat consumption reduction and very high prices of meat. And next to that in Latin America, by the way, our Diversey Care business has been very strong, specifically in Brazil, Argentina, Chile and so on. So we prepared and we said all of that early February, and we are exactly where we said we would be in the end. With regards to the rest of the year, we are going to be talking specifically about the three divisions, but you need to remember that in Product Care to start with, we – because of the strength and the growth that we have in third-party logistics and e-commerce, we are going to now have – this division have its very specific seasonality towards Q4. And we are extremely optimistic, thanks to our equipment placement and our customer wins, that we are going to have sequentially, very nice quarters of growth there. With regard to Diversey Care, we have had some very specific one-offs in North America as a result of channel sales being a little bit muted and ERP implementation consequences as happens to every single company when they go through that experience. But we are verifying and very pleased with what's going on in North America, specifically happy with what's going on in Asia Pacific with renewed nice growth in China for example, strong in India as always, et cetera, et cetera. And therefore, we're pleased with what we're seeing. In Food Care, I will let Karl speak more specifically about it, but we've got some tailwind coming from the beef cycle. We've got proteins in general doing quite well and we've got very nice innovation. All of this makes me confirm that you are going to see, as I said, already late last year and early this year, we're going to have nice growth – renewing with nice growth and that this growth is going to be more on volume than it is going to be on price as a result of the resin prices.
Lori C. Chaitman - Vice President-Investor Relations: Karl?
Jerome A. Peribere - President, Chief Executive Officer & Director: Karl, some comments on Food Care?
Karl R. Deily - President, Food Care: Yeah. Just real briefly, I mean, there's no doubt that Venezuela being down almost 59%, Brazil being down 8.5% are ongoing issues. We do see Brazil though not improving immediately, but there is medium to long-term positive trends in Brazil. I mean obviously, the Brazilian animal prices are still at a relatively all-time high. We do see retail prices dropping due to the lack of demand, but we also see their export market having favorable trends occurring. If you remember, one of the reasons Brazil export market was down is they were predominantly exporting to Venezuela and Russia, which had their own unique economic issues, but they've gained access, although, there's some small work yet left to do to gain access to U.S. as an export market. They're gaining significant business in China as an export market and parts of Asia, somewhat to fill the void left by Australia slaughter being down. So we do believe it's a mid to long-term positive in Brazil. We're also very favorable in the rest of our emerging markets where we have around 5% volume growth. And then we're still very, very positive on our volume growth in North America, 4% and Europe up 3% where we basically have a strategy of growing geographically as well as growing in the mature markets through innovation. So we're still seeing both of those going through.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question, please.
Operator: Thank you. And your next question comes from the line of Scott Gaffner of Barclays. Please go ahead.
Scott L. Gaffner - Barclays Capital, Inc.: Thanks. Good morning.
Jerome A. Peribere - President, Chief Executive Officer & Director: Good morning, Scott.
Scott L. Gaffner - Barclays Capital, Inc.: Carol, in your prepared remarks, you mentioned around the $30 million of higher operating expenses in the quarter. I think you said $16 million of higher wages and salaries; $12 million of – I couldn't hear it – capitalized inventory, which doesn't seem to really match up with the $20 million of supply chain and $10 million of SG&A, can you just walk us through that $30 million bucket in more detail, because there seems to be a lot of misunderstanding there? Thanks.
Carol P. Lowe - Chief Financial Officer & Senior Vice President: Okay. Yes. Thank you, Scott, and good morning. So the salary inflation of $16 million that I referenced, that covers both for SG&A as well as our supply chain costs of goods sold component. So, for SG&A we had about $7 million in salary wage inflation and cost of goods sold, the salary wage inflation is approximately $9 million and that gets you to the $16 million. If we look at the $12 million that I referenced on inventory variances, that is largely due to timing relative to capitalized variances that we amortize over our inventory turns and varies from quarter to quarter, year to year, depending on inventory levels, what's capitalized, purchase price variances, efficiencies in the factories. But again, it's largely timing. So again, the two major components are typical compensation inflation that we have every year as well as the inventory variances, of which most is capitalized and then amortized.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question, please.
Operator: Thank you. And your next question comes from the line of George Staphos, Bank of America Merrill Lynch. Please go ahead.
George Leon Staphos - Bank of America Merrill Lynch: Hi, everyone. Good morning. Thanks for all the color so far. Maybe if I could just piggyback on Scott's question, Carol, could you give us a little bit more color in terms of what causes the actual inventory variances of $12 million? Just some broad strokes there. And then, Karl, just a quick one for you, what gives you confidence that the cattle cycle will continue to move higher? Because obviously things like weather, feed costs, price of protein, can derail that over time. Thank you.
Carol P. Lowe - Chief Financial Officer & Senior Vice President: Okay. So George, without getting into a lot of detail, on the inventory variances when we reset standards periodically, we have internal guidelines that we follow in terms of when we have changes from our standards by more than a certain percentage, typically using a 10% rule of thumb. That can be impacted within a region or country based on the amount of imports that we're doing. Are they impacted by purchase price variances? Are they impacted by FX transaction costs, which are different than translation costs, as well as the operational efficiencies that impact our indirect supply chain costs, our fixed and administrative costs for running our factories and our warehouses and logistics networks? So, it's a combination of all of those as we bring them together and looking at the change for inventory values and properly capitalizing the amount, so it's reflected in our inventory turns as we move forward. And on a year-over-year basis, obviously that can be very different depending on where we end one quarter from an inventory level standpoint and efficiencies within that quarter versus comparison to the following year. Karl?
Karl R. Deily - President, Food Care: Okay. George, and thank you for the question, and I'll try to be very brief, but specific. We do have a lot of confidence that the cattle cycle and the herd is continuing to be rebuilt and that additional animals are currently going to market. You are absolutely right. Weather, feed cost, currency, all have an impact; and drought, as it impacts pasture conditions, can significantly have an impact. But corn projections, although up slightly, are still very favorable. The amount of very good pasture conditions are still at a high level. So currency is still maybe impact some on export, but still the fundamentals are there. The producers are making money. The cow-calf operations are making money and they're still retaining heifers. We don't have a balance of steers and heifers coming to market yet. When you see that, that'll be an indication that they've built the herd as large as they're going to build it. So, we do see them continuing to build the herd. If you go back to what we said at Investor's Day as a baseline, we're right on target. We believe that the herd will continue to be built and that additional animals will come to market over the next three years at a minimum.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question, please.
Operator: Thank you. And your next question comes from the line of Arun Viswanathan of RBC Capital Markets. Please go ahead.
Arun Viswanathan - RBC Capital Markets LLC: Thanks. Good morning. I guess I had a couple of questions on the supply chain costs. I guess would you characterize these as one-time in nature? And what is your outlook for these coming back over the next year or two? And then I guess the other question I had was resin costs, looks like they are going up in Q2. What's your outlook on passing those through? Thanks.
Carol P. Lowe - Chief Financial Officer & Senior Vice President: So of the supply chain costs, there is about $4 million that is a one-time negative we wouldn't see going forward. The other is really based around efficiency, purchase price variances, and that will change quarter-to-quarter depending on how we're operating and demand and performance and again, it's amortized and a lot is driven by where we end with inventory balances of one quarter and how we progress through the next. And because of our global footprint and the impact of currency and everything, it can – the quarter. It is a timing thing, and usually because our inventory turns about four times within a year, it typically smoothes out over the balance of the full year.
Jerome A. Peribere - President, Chief Executive Officer & Director: With regard to resins, yes, we have had in North America resin cost increases. The formula pricings are the formula pricings. We have contracts with our customers based on those, specifically in Food Care, a little bit, not very much in Product Care. And when it is not formula pricing it is a negotiation. So we have seen March increase and April increase. There might be some in May, not necessarily; we'll have to see how this goes. And therefore, we are negotiating on those cost increases with customers every time we can. You know that we've been very sensitive to pricing and we're not in the job of absorbing those things. So that's what we are working on. Now those comes on the heels of some price decreases and therefore we have to be cognizant of all of this. Having said that, we're having actions in that. What do we expect for the rest of the year? We don't think that the volume and the momentum is going to go for additional resin increases at that point in time.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question, please.
Operator: Thank you. Your next question comes from the line of Adam Josephson, KeyBanc Capital Markets. Please go ahead.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Thanks. Good morning, everyone. Carol, just a couple of quick ones. On the EBITDA commentary you provided, I believe you said 2Q would be down from a year ago. Can you give us some order of magnitude compared to last year's $308 million? And then just my other question is in terms of the disclosure of the FX drags and organic growth for the company, as a whole, obviously you had been providing that last quarter. You've stopped doing so. Can you give us a reason why? Thank you very much.
Carol P. Lowe - Chief Financial Officer & Senior Vice President: Okay. Thank you, Adam. With respect to the year-over-year decline that we expect for Q2, although expecting growth from Q1 through Q2, it's not very significant, but we want to stay away from giving the quarterly guidance. It was more significant for Q1 and that's why we called it out. I think the focus should be on where our full year guidance is at that we've provided. And with respect to the currency, as I noted, it's very volatile. And we just feel like at this point, some of the upside that we've seen now with the euro, if we look at Latin American currencies as well as the Australian dollar and Canada, they are largely offsetting a lot of the favorability that we're seeing with the euro. So, we'll get into where we're updating this quarter-to-quarter and honestly, we just don't have that much visibility to it.
Jerome A. Peribere - President, Chief Executive Officer & Director: Having said that, we told you in February – early February that we are expecting $18 million of negative currency compared to last year and despite a lot of second guessing by lots of people, we have had $17.8 million, so close enough.
Lori C. Chaitman - Vice President-Investor Relations: Operator, next question, please.
Operator: Thank you and your next question comes from the line of Mark Wilde, of BMO Capital Markets. Please proceed.
Mark William Wilde - BMO Capital Markets (United States): Thanks. Good morning.
Jerome A. Peribere - President, Chief Executive Officer & Director: Good morning.
Mark William Wilde - BMO Capital Markets (United States): Is it possible, Karl, for you to give us some sense on sort of a normalized basis about how important Brazil and Venezuela are in your overall Latin American food business? And then also in the Australia/New Zealand commentary, it sounded like maybe that was a little bit weaker in the first quarter than you were anticipating. Can you give us a little color on that, and what you expect for the balance of the year?
Karl R. Deily - President, Food Care: Yes. And I'll start, Mark, with Australia/New Zealand first. We saw Australia where their slaughter rates are down, Carol said, 17%. Our sales are relatively flat in that area, so we've also had some depression in the dairy market in New Zealand, so we have two key markets for us that the market conditions are unfavorable, but yet we've kept relatively flat volumes and we did that with diversification, new product innovation, disruptive innovations that have allowed us to grow in a down market. We would anticipate that the Australian beef market will stay relatively negative for at least two years because they're just starting their herd rebuilding cycle, but they are rebuilding the herd. So again, mid to long-term, we're still very favorable in that segment of the market. So that's some color in Australia/New Zealand. In Brazil, obviously Brazil is an important part of our long-range strategy and we think fundamentally with the infrastructure they have in producing food, whether it's poultry, beef and a growing amount pork, that we're well-positioned to capitalize on as those markets recover. We're still heavily entrenched in the key customers in that region and continue to provide automation, new product introductions as well to position ourselves for when their volumes return. Venezuela is the more longer-time concern, and again, they're a nice part of Latin America, but much smaller on the grand scheme of things. So we have great confidence in our total Latin America business where we're still seeing volume growth, minus the two areas of concern, and we believe that Brazil will be tough in the second quarter, but we believe that there is some opportunity to start turning positive in the second half and definitely going forward.
Jerome A. Peribere - President, Chief Executive Officer & Director: Well, you see, Venezuela is Venezuela, we all know what's going on. We also know what's going on in Brazil, but the situation is extremely different. What you have is the perfect storm in Brazil. You have had high meat prices, and you read the newspaper like me and therefore, you have had socioeconomical difficulties there and as you combine very high red meat prices and the situation I just talked about, you have had in the first quarter the highest meat consumption decrease that you ever had since statistics have existed in Brazil. So that's what I would call a temporary factor, because at the very same time, you didn't have very much exports, but exports from Brazil meat are going to be improving. And therefore, as the year passes, we believe that situation is going to be improving, both from the meat prices, cattle herd prices, and from the economic situation as there are political anxieties. So if you exclude Brazil and Venezuela, which it is what it is, you would have seen that we would have solid volume growth in the rest of Latin America, which is very encouraging. So, we're not throwing the baby with the bathwater. We've been very specifically hit in this first quarter. It's not going to be a quick recovery, but the cattle herd is going to be rebuilding in Brazil also and you're going to have some positive effects from Argentina over time as the new government, the Macri government, is going to enable exports. They have started to do this at small levels, but they are going to liberalize meat exports. So, I think all of this is positive.
Karl R. Deily - President, Food Care: Yeah, Mark, they're about 4% of our total Food Care, total Brazil.
Lori C. Chaitman - Vice President-Investor Relations: Thanks, Karl. Operator, next question.
Operator: Thank you. And your next question comes from the line of Anthony Pettinari of Citi. Please go ahead.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Good morning. In Product Care, you pointed to I think flattish volumes in North America, despite some of the rationalization activities and weakness in the industrial sector. I was wondering, is it possible to size what the impact of the rationalization was on volumes in the quarter, or what volumes would have been, ex-those activities? And then just the industrial weakness in Product Care, is that something that has gotten maybe better through the three months of the quarter and into April, or gotten worse? Or any kind of color you can give on industrial end-market trends would be helpful.
Jerome A. Peribere - President, Chief Executive Officer & Director: So, on this rationalization, we told you in the first quarter that this was a $15 million rationalization. And therefore, you have it there. So therefore, as you look at our Product Care total business, you're seeing that despite of that we had about flattish sales so we've got – why don't you take that we've got about $15 million growth in there. The price mix has been a little bit negative, but altogether, we are seeing a lot of momentum. I told you that last year already and that we were going to have it, and we're having it. We are seeing a lot of interest around the four pillars of fulfillment, velocity, consumer experience, damage control, et cetera, a lot of momentum with customers who are seeing us as creating a lot of value to them through our knowledge-based approach. And when you look at all of this, the cost of the packaging versus the influence it can have on damage and on all the factors and freight reduction because of (47:45), et cetera, because the packaging is really irrelevant. And that's why we're having so much traction helping our customers improve their own situation and create new value out of that. And just to finish, I have been very positive about the transformation, which has been ongoing in that division, like in all the others by the way. And you are, because it is a faster business than the Diversey Care business, which tends to have long-term contracts, and the Food Care businesses, which tends to have a long cycle for approval of new packaging, it is the kind of business where you're going to be seeing, over time, the quickest improvement.
Lori C. Chaitman - Vice President-Investor Relations: Thank you, Jerome. Operator, next question, please.
Operator: Thank you. And your next question comes from the line of Phillip Ng of Jefferies. Please go ahead.
Philip Ng - Jefferies LLC: Hey, guys. If I heard you guys correctly, you are guiding EBITDA down year-over-year in 2Q, which implies guidance is very back-end loaded. That's about a $50 million shortfall you've got to make up in the back half. Outside of volumes, what's driving the improvement? Are you essentially assuming mid single-digit organic growth in the back half and perhaps price costs looking a little better? Thanks.
Carol P. Lowe - Chief Financial Officer & Senior Vice President: So, good morning, Phil. It is – yes, and we acknowledged when we gave guidance back in February that the year was going to largely be driven by performance in the second half. We do have the seasonality that we've noted that's increasing relative to our Product Care business with the e-commerce business and how that drives the whole fulfillment chain. Also, the second half relative to the North America beef cycle and improvements in protein growth overall on a global basis. So it's as we expected, and we're confident with that full year guidance even knowing that most of it's going to happen in the second half of the year.
Jerome A. Peribere - President, Chief Executive Officer & Director: And our innovation is kicking in. You remember what we told you during our Investor Day in June of last year; we told you that it was we had solid programs and since then from time-to-time I have updated you on a few very key programs which are continue to go better than what we originally told you they would. So we're not going to update you on our Change the Game programs every year and in an Investor Day, but we're going – during investor meetings, et cetera, we're going to share the progress we're making. We have some really nice things going on right now.
Lori C. Chaitman - Vice President-Investor Relations: Operator, Next question, please?
Operator: Thank you. Your next question comes from the line of Chip Dillon of Vertical Research Partners. Please proceed.
Chip A. Dillon - Vertical Research Partners LLC: Yes. And good morning. Just a two-part question quickly, a small one is, I noticed you called out supply chain and SG&A in the year-over-year bridges for EBITDA in two of the segments, but you did not in Product Care, and I just didn't know if there was a reason why that wouldn't apply. And then secondly, I know I think you said originally the FX guidance, I know you're not updating it, was $400 million on the top line for the year, and we're a little bit more than a fourth of the way of that number in the first quarter, but it would seem to me if you froze things today that number in the second quarter would probably be half, and therefore we're probably running at a pace so far that $400 million would not be achieved unless we were to see the dollar reverse and start to rise again. So, your comments on those two points would be appreciated.
Carol P. Lowe - Chief Financial Officer & Senior Vice President: Right. So Chip, with respect to the question about Product Care and the difference. If you look at the operating expenses, called out on the EBITDA bridge, it was a year-over-year change of $1 million. The difference between the SG&A and the supply chain is very insignificant, so that's the reason we didn't call it out and Product Care wasn't as impacted on the inventory cap variances as Diversey Care and Food Care. And then on the FX, I think we've commented to the extent that we're going to comment on that.
Lori C. Chaitman - Vice President-Investor Relations: Operator, I think we have time for one more question.
Operator: Thank you. And that question comes from the line of Rosemarie Morbelli of Gabelli & Company. Please go ahead.
Rosemarie Jeanne Morbelli - Gabelli & Company: Thank you. Good morning, everyone. Jerome, I was wondering if we look at Product Care and the difference between North America and EMEA if you could talk about the markets served, as I would have expected North America to do better than EMEA given the respective economies.
Jerome A. Peribere - President, Chief Executive Officer & Director: So, well, it's true that the U.S. economy, North American economy, is doing better than the European one, but what we're seeing is that there's been quite a few muted investments in quite a few sectors in Europe, and as a result of that, even when the economy just only increases a few decimal points, it is the relativity of the improvements which is important to consider here. What you also have to know is that Europeans tend to automate more their e-Commerce operations than the U.S. has done so far, and the packaging in e-Commerce in Europe is tending to be more sophisticated than the one in the U.S., and this is why we are extremely successful there, and we expect to continue being so.
Lori C. Chaitman - Vice President-Investor Relations: Operator, I believe we have one or two more questions in the queue, so let's go ahead and squeeze them in if possible. Thank you.
Operator: Thank you. Your next question comes from the line of Chris Manuel from Wells Fargo Securities. Please go ahead.
Chris D. Manuel - Wells Fargo Securities LLC: Good morning, ladies and gentlemen. Just if I could clarify two things; one, Carol, when you referred to earnings being down or flat year-over-year were you referring to EPS or were you referring to EBITDA? That was part one. Part two was I think you talked pretty confidently of the volume getting better as the year progresses, particularly back half of the year, but as you're sitting today, seeing what you have with price mix how are you feeling that component? Could that maybe be negative in 2Q and kind of be flat or only a modest benefit for the year or do you still think that could be 1 point, 1.5 point of benefit?
Carol P. Lowe - Chief Financial Officer & Senior Vice President: So, Chris, in terms of my reference to Q2, that our expectations are for it to be down year-over-year, that is specific to the EBITDA number, not to earnings per share. And with respect to the outlook for the balance of the year on price mix, Jerome, did you want to comment on that? Or even, Karl, I guess because that's where we have the most impact from a formula pricing standpoint for Q2.
Karl R. Deily - President, Food Care: So, there's no doubt that in the second quarter we're not out of the woods yet. I think, one of the previous questions on resins going up. I think, a lot will be dictated by what the raw material markets do. As Jerome has said, formulas are formulas, and they're going to be a mathematical solution based on the input costs. But so I think the complete color on the second half will be developing in the next month or two months, but obviously, the comparisons get better year-over-year as the year goes on.
Jerome A. Peribere - President, Chief Executive Officer & Director: Yeah, the reason why we're confident in our growth rate for 2016 is once again that we are seeing volume pick up mostly as a result of our innovation and the momentum that we have in the marketplace. The global GDP hasn't moved. Pick your number, 3.2% this year compared to 3.3% or so last year. The IMF reduced the number from 3.4% a few months ago or a quarter ago. That's – it would be better to have more general economic momentum, but we don't need that given what we have in place. Let me repeat. We have customer wins in Diversey Care as a result of the integration of our equipment, tools and chemicals as a result of our knowledge-based savings introduction and very good, focused work. We're doing that, and by the way, we're seeing this in our pricing. Pricing has been nicely positive this quarter and we expect this to continue. Product Care, a lot of momentum. A lot of momentum thanks to the technologies once again, the four pillars and such. In Food Care – and by the way in Product Care in an industrial GDP environment which is pretty tepid, actually. And in Food Care, we talked to you, it's nicer to have slightly the beginning of an upside in the beef, but we're seeing general protein consumption being positive there, but it is not what is going to create the biggest change in our growth in 2016. What is going to create the biggest change in our growth in 2016 is our innovation.
Lori C. Chaitman - Vice President-Investor Relations: I think we have one more question. George Staphos had a follow-up.
George Leon Staphos - Bank of America Merrill Lynch: Hi. Thanks for taking it. Jerome or Carol, could you go into why you had relatively weaker sales into distribution for Diversey? If you mentioned it, I missed it. And then contrast that with what was relatively good performance in Latin America for Diversey despite Food being relatively weak there? Thanks and good luck in the quarter.
Jerome A. Peribere - President, Chief Executive Officer & Director: Thank you. Well, the markets are very different. The regional markets, we were – we had some good customer momentum in Latin America with some customer wins in Diversey Care and we're happy with the trends and what we're seeing moving better there. With regards to North American Diversey Care, we had a little bit of channel softness as a result of our customers reaching their objectives. Remember, and by the way, we talked about this; we were – as we were doing SAP implementation early in the year, in order to make sure that our customers were going to have no disruption, there's been a little bit of pre-buying and we've talked about that during Q4. There's been a little bit of pre-buying towards the end of the year. Well, we've been paying the price in – during the first quarter, and then every time you have those kinds of changes in the ERP system you have a little bit of disruption. I will be very transparent. If we were not seeing the growth rate that we have enjoyed you have seen how strong our North American business has been last year in that division, I would just go and signal to you that we're seeing different things. We're going to renew was a very nice strength and growth.
Lori C. Chaitman - Vice President-Investor Relations: Operator that concludes our call, thank you, everyone, for your questions.
Jerome A. Peribere - President, Chief Executive Officer & Director: Thank you.
Karl R. Deily - President, Food Care: Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Thank you for joining and have a very good day.